Operator: Good day everyone and welcome to this AMETEK Incorporated Third Quarter Earnings Conference Call. This call is being recorded. For opening remarks and introductions, I would like to turn the call over to Mr. Bill Burke, Vice President of Investor Relations and Treasurer. Please go ahead sir.
William J. Burke - Vice President Investor Relations and Treasurer: Thank you, Rochelle. Good morning everyone and welcome to AMETEK's third quarter earnings conference call. Joining me this morning are Frank Hermance, Chairman and Chief Executive Officer and John Molinelli, Executive Vice President and Chief Financial Officer. AMETEK's third quarter results were released before the market opened today and are available electronically on your market systems and on our website at www.ametek.com/investors. A tape of today's conference call maybe accessed until November 5th by calling 888-203-1112 and entering the confirmation code number 5111340. This conference call is also webcasted and can be accessed at ametek.com and at streetevents.com. This conference call will be archived on both of these websites. I will remind you that any statements made by AMETEK during the call that are not historical in nature are to be considered forward-looking statements. As such these statements are subject to change based on various factors and uncertainties that may cause actual results to differ significantly from expectations. Those factors are contained in our SEC filings. I will also refer you to the investor's section of ametek.com for a reconciliation of any non-GAAP financial measures used during this conference call. We'll begin today with some prepared remarks and then we'll take your questions. I'll now turn the meeting over to Frank.
Frank S. Hermance - Chairman and Chief Executive Officer: Thank you, Bill. AMETEK had an excellent third quarter. Sales were up 22% to $647.4 million and strong internal growth of 6% and the contributions from acquired businesses. If the effects of foreign currency are included, internal growth and sales was 7%. Also, internal growth in orders was very strong at 7%. Operating income was up 25% and operating income margin expanded 30 basis points. Net income was up 24% and diluted earnings per share were up 25%. Overall we're delighted with these results. Our key markets remain strong. Our strategy of acquiring differentiated businesses is working well and our focus on operational excellence continues to drive profitability. Turning our attention to the individual operating groups. Electronic Instruments Group had an excellent quarter. Sales were up 20% on strong core growth of 8% and the contributions from the acquisitions of Cameca, California Instruments, Vision Research and Xantrex Programmable Power. If the effects of foreign currency are included, internal growth was 9%. The EIG's operating income was up 28% for the quarter. Operating margins improved 140 basis points to 22.4% as compared to 21% in the third quarter of 2007. Electromechanical Group also had a strong quarter with revenues up 26%, solid internal growth of 4% and the contributions from the Reading Alloys, Umeco Repair and Overhaul, Motion Control Group and Drake Air acquisitions drove the revenue growth. The effects of foreign currency are included, internal growth was 5%. Operating income for the quarter was up 17% to $50.4 million. Operating margins were 17.4% this year as compared to 18.7% last year with a diluted impact of acquisitions, the key driver for the change. In addition to our excellent financial results, we continue to make significant progress in the implementation of our four growth strategies; operational excellence, global and market expansion, new product development and acquisitions. Operational excellence is the corner stone strategy for the company, and our relentless focused on cost and asset management has been a key driver to both our competitive and financial success. As these business units AMETEK colleagues are implementing initiatives to improve plant productivity, reduce cost and increase capital efficiency. In addition to these business unit level activities, there are some company wide initiatives that are driving significant financial benefits. Our global sourcing office and strategic procurement initiatives have been key drivers to increase profitability in 2008. We expect to generate $20 million in incremental savings this year from these activities. For the first nine months, we have realized $16 million. We are continuing our migration to best cost manufacturing locals, with most in Mexico, Shanghai and the Czech Republic, revenues from these plants is expected to total approximately $365 million to $375 million in 2008, an increase of $40 million to $50 million from 2007. In the third quarter, as the headlines warned of an impending recession, we decided to take additional actions to preserve our bottom-line, even though our key markets remain strong. These actions included aggressive price increase throughout the business to offset larger inflationary cost increases than we had budgeted. These price increases totaled approximately 1% on a full year run-rate basis. We also eliminated a number of plan increases to head count as well as directly reducing head count. The total number of reductions was approximately 225 with annualized savings of about $14 million. These actions were in addition to the $5 million precautionary built tightening initiatives implemented earlier in the year. As we move into the fourth quarter and our planning cycle for 2009, it is becoming clear that there will be a U.S. recession and a slowing international economy. But we believe our exposure to aerospace, power and oil and gas markets will provide a portfolio hedge we will not be immune to a global slowdown. As the result, we will budget cautiously on the top-line and be very aggressive in taking out cost. This approach serviced very well through the last downturn and we believe it will serve us and our shareholders as well in this downturn. Global and market expansion continues to be a driver for our AMETEK's growth. In the third quarter, international sales grew by 19% and were 48% of our total sales. This growth was driven by our process, aerospace, power and Electromechanical products. The few examples are future international growth. Caterpillar Japan has awarded our Vehicle Instrumentation Systems business unit, the Hydraulic Excavator Switch Pad Program. This program is scheduled to launch in 2010, with annualized sales revenue of approximately $5 million. This win reflects the strength of our partnership with Cat for their global instrumentation needs. AMETEK's Solid State Controls was awarded $2.6 million order for battery backup systems for a new nuclear reactor for Korea Electric. This is the first time in over 10 years that South Korea has purchased imported battery backup systems for a new nuclear reactor. The reliability and total cost of our system was recognized as a better value proposition than what was available locally. Another key avenue from internal growth is new product development. We have consistently invested in our RD&E, this year the total is expected to be $121 million, up 18% over the last year. Internal growth reflecting the continued strong level of funding and attractions from design for Six Sigma efforts was a strong 6% overall in the quarter. While no single new product is significant to AMETEK as a whole. We're very excited about some recent customer wins driven by our development efforts. In the third quarter AMETEK aerospace and defense was awarded the electrical heating system on the new Airbus A350. Heaters from our air technology business in the United Kingdom are matched with AFEON [ph] controllers developed in the United States to provide heating to the flight deck, cabin and cargo areas of this aircraft. This is a very significant win for AMETEK with the volume over the life of this aircraft estimated at $215 million. We are actively involved in additional opportunities on the A350 and expect this to be a great platform for us. AMETEK Taylor Hobson has received initial orders for its Taylor serve PGI Blue surface measurement instrument. This sophisticated instrument is aimed at customers that need to measure complex, steep sided optics including manufacturers of Blu-ray DVD players. Two of the leading manufacturers of advanced solar cells have made our Hamilton Precision Metals business units their supplier of choice for stainless steel substrates. The ultra smooth finish of Hamilton's product enables their customers to achieve higher manufacturing efficiencies and lowering the total cost of producing their solar cells. This product has productive sales of over $3 million in the next year. Overall, revenues from products introduced over the last three years was 19% of sales in the first nine months of 2008, up from 18% last year reflecting the excellent work of our businesses and developing the right products to serve their customers. Turning to acquisitions, we have acquired six companies this year representing approximately $240 million in annualized revenue. These are all differentiated businesses that expand our market positions in analytical instrumentation, aerospace MRO, power, technical motors and engineered materials. In July, we announced the acquisition of the programmable power business of Xantrex Technology Inc. With annual sales of approximately $80 million, Xantrex's programmable power division is a leader in alternating current programmable power supplies used to test electrical and electronic products. Xantrex programmable power significantly expands our position in the niche market for programmable power sources and provides us with future opportunities for growth in the highly attractive electronic test and measurement equipment market. The pipeline of acquisition candidates remains strong and we continue to look to add differentiated businesses to AMETEK. We have the financial and managerial capacity to continue to do acquisitions and believe this will be a great environment as the price for acquisitions recedes. There is much concern among investors about the slowing global economy. To date, we have seen minimal impacts to our business, though the events over the last several weeks point clearly to a U.S. recession and a slowing international economy. Our diversified global customer base, significant exposure to long cycle markets, a lack of presence in certain great weak areas of the U.S. economy, and our operational excellence capabilities, provide AMETEK and U.S. investors with a buffer against this economic downturn. Some key points; our customer base is global with approximately 50% of our sales outside the U.S. up from 32% in 2001. Our international markets remain strong. We have significant revenue, approximately $830 million concentrated in the long cycle, aero space and power markets. These businesses should enjoy future growth. In addition, it should be noted that these long cycle businesses have higher than average profitability. We had minimal exposure to the residential housing and automotive markets, two particularly weak areas of the U.S. economy. Also, we have and we will continue to react swiftly to align our cost base with economic realities. This capability enabled us to improve margin throughout the last downturn, one of the few industrial companies to do so. Pulling all of this together, only about 25% of our sales and a smaller amount of our profitability are exposed to the short cycle of U.S, economy. Our higher profit long cycle businesses should continue to perform well in an economic downturn, and we will continue to react swiftly to the realities of the economic environment. Turning to the outlook for 2008; we are optimistic about our prospects for the balance of 2008, and have increased our full year guidance. Our key markets continue to be strong. For the year, revenue is estimated to increase approximately 20%, on mid-single digit core growth in each group, and the annualized impact of acquisitions. Internal growth in Electronic Instruments Group will benefit from continued strength than our long cycle, aerospace and power businesses. In the Electromechanical Group, the core growth will be driven by strong performance in our differentiated businesses. The full year impact of our 2007 acquisitions as well as the impact of the acquisitions we have completed to-date in 2008 will also be a key contributor to the top-line growth. We are raising our earnings estimates from our previous range of $2.50 to $2.54 per diluted share to approximately $2.55 to $2.57 per diluted share, an increase of 20 to 21% over the 2007 level of $2.12 per diluted share. For the fourth quarter of 2008, sales are expected to be up approximately 15% over last year's fourth quarter. We estimate our earnings to be approximately $0.66 to $0.68 per diluted share, an increase of 16% to 19% over last year's fourth quarter of $0.57 cents per delivery share. So in summary, we are very pleased with our performance in the third quarter. Solid internal growth and the contributions from acquired businesses enable us to grow the top-line by 22%. We've enabled to translate the top-line growth into bottom line performance driving strong net income and earnings per share growth. Our key markets continued to be strong. Our operational excellence capabilities, global customer base, exposure to long cycle markets such as aerospace and power, exposure to the energy markets and the impact of our recent acquisitions should enable us to grow both the top and bottom lines and meet our 2008 earnings estimates even as the economy slows,. The pipeline of acquisition candidates remain strong and we continue to look to add differentiated businesses to AMETEK. We look forward to building our track record of success and remain confident that our four growth strategies will continue to create value for our shareholders. John, will now cover some financial details and then we'll be glad to answer your questions. John?
John J. Molinelli - Executive Vice President - Chief Financial Officer: Thank you, Frank. The results we are reporting today demonstrate a high quality of earnings, strong margins, and a balance sheet well equipped to support our growth plans. As Frank has covered our results at a high level, I will focus on certain areas of interest. Selling expenses were up 21% in the third quarter. Excluding the effect of acquisitions, selling expense increased in line with our core growth. Corporate G&A fell to 1.6% of sales, as compared to 1.9% of sales in last years third quarter. After excluding the charge related to the accelerated vesting restricted stock in the second quarter, we expect our G&A spend for the full year 2008, to be about the same as last year in absolute dollars with 2008 decreasing to 1.6% of sales versus 1.9% of sales for 2007. The effective tax rate for the quarter was 31.1%, inline with last year's third quarter. We expect the effective tax rate for the full year 2008 to be approximately 32.5%. As we have said before, this is a full year rate and actual quarterly rates can differ dramatically, either positively or negatively from this full year rate. On the balance sheet, working capital, defined as receivables plus inventory less payables, was 21.8% of sales for the third quarter, down from last year's third quarter level of 22.7%. We continue to see an opportunity to reduce our working capital investment and we plan to reduce this year's overall percentage going forward. Capital spending was $11 million for the quarter and $31 million for the year-to-date. Depreciation and amortization was $16 million in the quarter and the year-to-date amount is $46 million. For the full year of 2008, we expect the capital expenditures will total approximately $45 million, while depreciation and amortization is expected to be above $65 million. Operating cash flow for the first nine months was excellent, totaling $205 million up 13% over the first nine months of 2007. Total debt was $1.158 billion at September 30th, up $68 million from June 30th. Offsetting this debt is cash and cash equivalents of $166 million resulting in a net debt to capital ratio at quarter end of 42%, up slightly from 41% at the end of the second quarter. These ratios reflect the investment of $120 million for the acquisition of Xantrex's Programmable Power. Over the past 18 months, we have expanded a significant amount of effort to improve the company's capital structure and ensure that adequate liquidity was available to support our growth plans. Result of this work is that AMETEK has significant liquidity available and no significant debt maturities in 2009. To summarize the key actions we have taken during this time. In June 2007, we amended our revolving credit facility to increase its limit from $300 million to $450 million and to extend its maturity date to June 2012. In August 2007, we closed on a private placement for $450 million in long term debt. This 10 and 12 year notes with a waited average... at a weighted average interest rate of 6.2%... 6.25%. In the third quarter of this year, we had several financing transactions. We've paid off $225 million of 7.2% senior notes that reached maturity in July. We received the final $80 million draw of the private placement we entered into in August 2007. On September 17th, we've closed on a new $350 million private placement with a group of institutional investors. The private placement was for 7 and 10 years senior notes with a weighted average interest rate of 6.93%. Of the total raised, $250 million was funded at closing with the remaining $100 million to be funded on December 17th. The offering was very well received by the investor base, in a very difficult financing environment reflecting the strength of AMETEK's business model and credit profile. At quarter end, we had approximately $625 million of cash and credit facilities to fund our growth initiatives. Clearly, liquidity is not an issue for AMETEK. Moreover, our debt maturity profile was very distributed. With only the renewal of our $100 million account receivables securitization program required in 2009. In summary, we continue to manage our cost structure and balance sheet effectively, generating excellent cash flow and positioning ourselves for future growth. Bill?
William J. Burke - Vice President Investor Relations and Treasurer: Thanks John. That concludes our prepared remarks. Rochelle we'll be happy to take questions now. Question And Answer
Operator: Thank you. [Operator Instructions]. We will take our first question from Wendy Caplan with Wachovia Securities.
Wendy Caplan - Wachovia Capital Markets, Llc: Thank you. Good morning.
Frank S. Hermance - Chairman and Chief Executive Officer: Good morning Wendy.
Wendy Caplan - Wachovia Capital Markets, Llc: Frank, when you received your Thursday sheets from your business... from the management team, can you talk about whether there has been any kind of a reportable change in those sheets in terms of how they are viewing there businesses?
Frank S. Hermance - Chairman and Chief Executive Officer: Well I would say for the key parts of our business there has not been a reportable change. The markets that I talked about in my opening remarks continued to be strong and I would say not a significant change. However, in some spotted areas I would say of the company, we are definitely seeing some impacts of the global slowing. And I'll speak to a few of those to put the proper color on what I mean. For instance, our heavy vehicle business which is a relatively small part of AMETEK, it's about $20 million in volume, the turnaround in that business is clearly moving out in time. The estimates for next year have comedown some from the viewpoint of the agencies that basically look at a number of heavy vehicles that are going to be produced. It's still up year-over-year, but not as strong as predicted just a few weeks ago. Also, we've seen some slowing in our Chemical Products division; again a relatively small part of the company. But they do have some exposure to the automotive markets and that business is weaker. And in a few selected spots internationally as well, we've seen some weakening with Brazil for instance has had some weakening currency related and also of our four care businesses in Western Europe have shown a little bit of slowing. However, in almost all of these cases, it's been offset by a very strong business in other parts of the globe, for instance in this European's softening I was mentioning we've had very strong growth in Asia which offset it. So you don't' see it in a numbers. So I would say in these sorted of very spotted areas we've seen some weakening but overall the business remains very healthy and very strong.
Wendy Caplan - Wachovia Capital Markets, Llc: Okay. And just to follow-up with that, you've talked about the heavy vehicle business in the past and how you've encouraged the management to seek other markets for the same product or similar products. Can you help us understand at this point in time which businesses are you kind of keying into, in terms of the ones that would suggest a further slowdown for the company? And can you talk about some of the contingency plans for those businesses?
Frank S. Hermance - Chairman and Chief Executive Officer: Yes, absolutely. The key bell leather for us would be our cost driven businesses, where the dynamics in those businesses are essentially cost not as much based on differentiation. So I look very, very keenly at what is happening to our cost driven businesses on a global basis. And the very encouraging thing is in the third quarter they were essentially at about the same level as they were in the second quarter. We didn't see any real deterioration on those businesses globally. As I mentioned, it was a little bit of a slowdown in Europe but offset by strength in Asia. But that is also happened when the economy has been strong we'll see those kinds of tweaks. But that is the leading indicator I would say that I... my focus on in the company. There are a few, a shorter cycle businesses and our instruments group that I' looked at, but they're not as significant in mass. So it's not as critical to AMETEK. In terms of contingencies, we really view ourselves right now as being ahead of the cross curve. As I mentioned in my opening remarks, we basically put a $5 million precautionary bill tightening in place at the beginning of the year and then during the third quarter we added another $14 million in profit improvement programs which are... that didn't include the price increase I mentioned which was another 1% or a $20 million plus. So, if you sum all that up, there's about $40 million of improvement we've already put in with in essence no significant change in our market... the key markets I would say. As we go forward, we're going to be very aggressive on the cost side. We're rolling our budgets up right now. We've asked our operating entities to assume lower core growth and they will decide what they mean or what we mean by lower core growth. And I'm sure we'll discuss that during the budget cycles themselves and to be very aggressive on the cost side of the business. So I would expect when we release our earnings at the end of the year, you'll hear from us another round of cost cutting to line ourselves up with the realities of the global economy.
Wendy Caplan - Wachovia Capital Markets, Llc: Thank you. And final thing then I'll jump off, could you quantify the impact of the Boeing strike this quarter? And what you are seeing, what you're thinking about it, please?
Frank S. Hermance - Chairman and Chief Executive Officer: Yes, I can. Basically, the Boeing strike in sales will cost us $4 million to $5 million a month starting on November 1st. So that means that the impact of the Boeing strike if it continued through year-end, could be up to $8 million or $10 million in terms of revenue. The estimates we gave you cover that downside. So in other words, if the strike lasts till the end of the year, our earnings estimates we feel are still solid. In addition, you may have heard this morning that Boeing is going to resume talks tomorrow actually with their union. And I would hope that this strike would be handled well before the end of the year. But that's obviously speculation on my part.
Wendy Caplan - Wachovia Capital Markets, Llc: Thank you.
Frank S. Hermance - Chairman and Chief Executive Officer: You bet Wendy.
Operator: And next we move on to Jim Lucas with Janney Montgomery
James Lucas - Janney Montgomery Scott LLC: Thanks. Good morning guys.
Frank S. Hermance - Chairman and Chief Executive Officer: How are you Jim/
James Lucas - Janney Montgomery Scott LLC: John, first house keeping question payables end of the quarter?
John J. Molinelli - Executive Vice President - Chief Financial Officer: Sure Jim, $223 million.
James Lucas - Janney Montgomery Scott LLC: Alright, thank you. And two questions today Frank. First, the price increase that you put through in your comment with regards to commodity inflation. Can you just speak to what you're seeing out there specifically what commodities were impacting you? And given what is evolving in the world today, what do you see in terms of price versus inflation going forward? That's the first question.
Frank S. Hermance - Chairman and Chief Executive Officer: Sure, okay. We started at the beginning of the third quarter to become concerned about various commodities that we're increasing, with the primary one being steel. At that time the price of steel was about twice what it was, say a year before that. And we use about 42 million pounds of steel. And when you couple that with the fact that we saw the economy starting to slow, we decided that we would put a pricing increase in place. So we went out all of our operating use, it wasn't just those that were affected by that particular commodity. And we said this is the time to get aggressive on pricing. We put that extra 1% in, and then of course what we have seen across the general level of commodities we use is a price weakening, where the price of copper has come down substantially. I saw in the paper this morning, it was $2.11 a pound. Nickel has come down; at one point nickel was about $22 a pound and it's now about $5 a pound. So, what I would hope is that the result of this price increase as we go forward, would actually more than offset the cost of commodities, and we'd actually see some bottom line improvement across. Of course that's going to be tampered by a likely scenario of reduced organic growth next year.
James Lucas - Janney Montgomery Scott LLC: Okay. And in terms, of... cause that kind of begged the question that there started to be... some people have started talking about potential deflationary pressure are starting to come back and asking for price cuts in the phase of things like copper and nickel coming down, that's why I was a little bit of a shocked to hear price increase.
Frank S. Hermance - Chairman and Chief Executive Officer: Right. Well again it's the timing of when we did it Jim.
James Lucas - Janney Montgomery Scott LLC: Okay. And then secondly, as the portfolio have evolved and we hear piece mill through the quarter is about aerospace and energy, could you maybe just spend just a moment talking about where specifically the sweet spots for AMETEK is on and both the aerospace and energy side/ And particularly with the price of oil coming down, what your outlook there is?
Frank S. Hermance - Chairman and Chief Executive Officer: Okay. Well it's very difficult to predict to what is going to happen obviously next year. If we look at aerospace first, the backlogs in aerospace are extremely high. Boeing and Airbus combined have about an $800 billion backlogs, 70-500 aircraft. So, it's clearly possible that you'll see some backlogs shrinkage. But even with fairly large or significant amount of backlog shrinkage, the production rates for our next year are still forecasted to be very healthy. Airbus came out and talked about, basically they were not going to increase their production as much as they had originally indicated. And we foresaw those numbers, we got concerned, we went and looked and they're still talking about producing even with that 9% more aircraft next year than this year. So, I think it's reasonably safe to say that for next year, the commercial aircraft production is going to be okay. You could see a weakening in 2010 or 2011. But I think next year at least at this point in time, looks fairly secure. From the viewpoint of the Military Aircraft business, it is just humming for us. And as a result of the fact that we decided to invest in cooling and electronic systems and our orders and that business has actually strengthened through the third quarter. So, very, very good performance, and I don't want to really predict what is going to happen next year. We'll get into that in the budgeting process. But I've seen no indications of weakening. So, and I'm still fairly bullish on aerospace; there is going to be some weakening as the capacity cuts on the MRO side next year. But again, our exposure in particular to the U.S. side of that which is one that's announced the most significant cuts is pretty small, it's about $50 million. So I'm not overly concerned about it. So, right now aerospace still feels okay to me because of where we invested in and the key strength in the military side of the business. In the Energy markets, that's more difficult to predict because the backlogs are not as far out in those particular businesses and we went around and talked to a bunch of our customers and asked them what level the price of oil are going in investments based on, and they came back with numbers in the $50 to $55 a barrel basically as the price that they're investing. So, if we see that price of oil get down in that range, it will definitely have an impact on our business. I look this morning and oil was at $75 a barrel roughly yesterday and at that level, I just think... I think we're still going to be okay. But obviously the margin here is getting narrower and we definitely could have an impact on lot of energy businesses. Now this is the last point I'd make on this is that the process side of our business which is a fairly healthy part of AMETEK, only about half of that business is really related to what I would call the energy markets, the other half is related to other types of activities. So again, the AMETEK portfolio provides some buffer if we do see some shrinkage energy.
James Lucas - Janney Montgomery Scott LLC: Okay. And finally on acquisition multiples, have you seen any sort of realities starting to creep in there?
Frank S. Hermance - Chairman and Chief Executive Officer: Yes. I would say that's a good way to word it. We have seen some reality come to play in the acquisition environment and I'll call it the pre-bubble. We were... we are paying multiples in the 7.5 time frame during the bubble when financial debt was very, very easy to give. We saw those multiples go up to the nine times region and I actually did a calculation last night. And what we have bought this year has averaged about eight. And I think we're starting to see that move down and hopefully within the next quarter or two we'll be back to sort of that pre-bubble of level. So we view this is an opportunity. John did a great job and Bill, getting the financing for the company right before the Wall Street blew up in essence. So, we've got the cash and we're going to be aggressive in the acquisition and take advantage of the fact that these multiples are going to go down.
James Lucas - Janney Montgomery Scott LLC: Okay, great. Thank you very much.
Frank S. Hermance - Chairman and Chief Executive Officer: You're bet.
Operator: And next, we move on to Amit Daryanani with RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: Thanks all. Just a quick question guys on the 225 headcount reduction, I think you have something about 14 million in annual saving. How much of the seven stars that you had to take for that? And did it flow to the P&L this quarter?
Frank S. Hermance - Chairman and Chief Executive Officer: Yes, basically we have taken a philosophy as pay as go as you're well aware of the restructurings that we have done. And in essence we have paid for this out of our earnings stream and the amount was not a material amount.
Amit Daryanani - RBC Capital Markets: Alright. And then I think you talked about some potential bill typing measures going forward as well. Is there a dollar amount in terms of costing that you are potentially looking at?
Frank S. Hermance - Chairman and Chief Executive Officer: No, we have not at this point put a specific target on the additional cost reductions that we expect to incur or look at for the fourth quarter and going into next year. We're basically going to go through the entire company. We have a very sophisticated budgeting process. And as I mentioned, we're going to ask our businesses to keep the top-line at a low level in comparison to what they think from an organic growth viewpoint. And we'll put significant pressure on the cost side of the business. And as I mentioned, I would expect that in the January conference call, we'll update you on exactly what we have done in the magnitudes where et cetera.
Amit Daryanani - RBC Capital Markets: Fair enough folks. One other follow-up question for you guys. If you were talking about price increases a while earlier was about 2% in Q2, 1% this quarter that's as a tailwind, given the deflect... commodity deflation you're seeing. I'm curious do you see a scenario where those may reverse? And actually may become a headwind so you may have to give back those price increases to the customers?
Frank S. Hermance - Chairman and Chief Executive Officer: Yes. Let me just talk to your numbers for a moment. Actually in the third quarter, the pricing increases were 2.2%. That was the total for the quarter. And during the quarter we put another 1% in place. So going forward into the fourth quarter that would amount to a number like the 3% price increase, in total. Yes I would definitely expect that our customers overtime will put pressure on us to reduce pricing there's absolutely no question about that. As a matter of fact some of our contracts basically change the pricing as the result of commodities where we cannot in essence put somebody's price increases through. So, we'll definitely have pressure back. However, we believe we're ahead of the curve here. We believe that we struck just at the right time on price increases that to go out today and try to do them would be much more difficult than it was when we put them in place, beginning at the start of the third quarter. And we think we're ahead of the curve and that's where we like to be.
Amit Daryanani - RBC Capital Markets: Fair enough. Thanks a lot.
Frank S. Hermance - Chairman and Chief Executive Officer: You bet.
Operator: We'll move on to John Baliotti with FTN Midwest Securities.
John Baliotti - FTN Midwest Securities: Good morning. Frank, if I can just a quick question on the deals that, kind of like the business that you're looking at going forward. Are you seeing any change in the over... sort of in very general terms to help of some of those... I mean historically on average the businesses that you buy are smaller. Any dynamic changes in terms of their help?
Frank S. Hermance - Chairman and Chief Executive Officer: Well I think you're going to see that as time goes on. You're going to see probably a bifurcation where there definitely will be companies out there that I would classify as not good companies that are having major, major earnings problems. And we tend to stay away from those companies. We like to look at companies that are under managed to use our words where in essence the pre-tax profitability of those companies was in the 10% region. And I think we're going to see of more of those available, but I also think you're going to see a lot more companies that almost half the sell because of the economic environment. And in general, we will stay away from the, I'll call them bankrupt companies.
John Baliotti - FTN Midwest Securities: Yes. On the other side, on the customer side, obviously given you're the strength to your margins, overall your products are obviously being viewed as more valuable. And I'm wondering in this environment is there any change in customers as they make some head count cuts and some cost cuts, are they leaning on you more for more of the work they might have been doing in the past? Is that a dynamic change at all that you're seeing now? Or is that been... is that the same thing that's been going on for a while?
Frank S. Hermance - Chairman and Chief Executive Officer: No, I haven't seen that dynamic to any large degree, I mean I'm sure some of our business, we are seeing some of that. But it's not a meaningful factor in our performance at least at this point.
John Baliotti - FTN Midwest Securities: Has it been in terms of AMETEK being more of doing more some would say, some of the development work for them that maybe in the past let's say 5 or 10 years ago, they may have been doing themselves?
Frank S. Hermance - Chairman and Chief Executive Officer: Well I think we've seen a general trend in that direction over the last 5 or 10 years. But I don't think it's... we haven't seen it accelerate in the last few months.
John Baliotti - FTN Midwest Securities: Right.
Frank S. Hermance - Chairman and Chief Executive Officer: I don't think the full impacts of what's happened in the last few months are obviously still embedded in our customers yet. But that very well could happen and we could see more of it. We've seen that in aerospace in the past where when things weakened, they'll basically have more outsourcing of their engineering activities and we will benefit from that.
John Baliotti - FTN Midwest Securities: Alright. Okay, great. Thank you.
Frank S. Hermance - Chairman and Chief Executive Officer: Okay.
Operator: And our next question, we'll hear from Chris Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer: Thanks, good morning.
Frank S. Hermance - Chairman and Chief Executive Officer: Good morning.
Christopher Glynn - Oppenheimer: Just would love a little detail on the underlying operating margins at the business especially with the Xantrex in at the Instruments Group maybe not much of an impact this quarter maybe a month. But what's active and underlying? And going forward, what kind of impact from Xantrex would we be think about?
Frank S. Hermance - Chairman and Chief Executive Officer: I can't specifically answer your question on Xantrex. I haven't run those numbers. But I can give you this detail that when I spoke to the margins in the company being up 30 basis points, there was about 85 basis points of dilution due to all the acquisitions that we have done. That's the calculation that we have run. So we are definitely... and we'll continue to see a dilution on the margins. But obviously our overall margins are up, which means the core business, the margins are superlative. And we think this is the right model, because the return on invested capital when we buy these companies at a 10% pre-tax, even though there's some dilution on the margins themselves, the actual return because we'll take these 10% companies. And as you know in a very short period of time make them 20% companies. The return on invest of capital is just off the charts and that's the right utilization of cash from our view point. And we'll accept some dilution on the top-line due to those acquisitions.
Christopher Glynn - Oppenheimer: Okay. And then any chance of getting the 85 base points dilution at the segment level? Or at least directionally assume greater impacted EMG obviously?
Frank S. Hermance - Chairman and Chief Executive Officer: Actually not. It was about the same in each of those our businesses. So there was not a substantial change. Remember we've got a bunch of acquisitions, some last year, some this year. There's probably 8 to 10 acquisitions rolling through those numbers. So the total amount was about the same on each part of the company.
Christopher Glynn - Oppenheimer: Okay. And then lastly, the oil and gas stuck with the $50 or $55 barrel threshold, if that's the literal level, what's the anticipatory factor if arguably and freefall or at least prospects that, is that investment anticipates well ahead of that literal level of oil?
Frank S. Hermance - Chairman and Chief Executive Officer: That's a question that I can't answer in reality. I mean, it's very difficult and it's going to vary from customer to customer. But, I don't think that there's going to be panic in the major change in the investment levels until you get down near that level.
Christopher Glynn - Oppenheimer: Thanks. I appreciate it.
Frank S. Hermance - Chairman and Chief Executive Officer: You bet.
Operator: And next we move on to Matt Summerville with KeyBanc.
Matt Summerville - KeyBanc Capital Markets: Just a couple of questions. Frank, can you remind us back in 2001 to 2002 how much of your business you would characterize as cost driven/ And then where that run rate was in the third quarter?
Frank S. Hermance - Chairman and Chief Executive Officer: From my recollection, it was on the order of a third of our business. And now, it's on the order of approaching 10% of our business.
Matt Summerville - KeyBanc Capital Markets: Okay, great, thanks. And then you typically go into a little bit more detail on the division performance by segment for the quarter, can you go into that please?
Frank S. Hermance - Chairman and Chief Executive Officer: I mean take a walk through the company?
Matt Summerville - KeyBanc Capital Markets: Yes.
Frank S. Hermance - Chairman and Chief Executive Officer: Is that what you're asking Matt? Sure. Yes I have some notes here that I'll read from. If with start with EIG, as in mentioned in my opening remarks, sales were up 20% for all of EIG in Q3 with very good organic growth of 8% and if the currency is included, that organic growth would have or just 9%. I've already mentioned our long cycle aerospace business, the markets remain strong. Boeing and Airbus again have very strong backlogs, Session this backlog as $15.6 billion, that's up $3 billion since last year end. And they are sold out for three years at the 2009 bill trade, and Session is a very large customer of our. So we're going to enjoy a continued strength with them. As I mentioned, the military business was very, very strong in the quarter, again given our focus on electronics and helicopters. Organic growth for aerospace was up high single-digits in the quarter and for the full year we expect internal growth to be up high single-digits. So very, very good performance. Our Process businesses remain strong during the quarter, in particular, three of our divisions in this area; Process and Analytical Instruments Measurement Calibration Technology and our Advance Measurement Technology divisions were very, very strong. The new products are doing well. Q3 internal growth and the process businesses was up high single-digits. Total growth with acquisitions was up high teens on a percentage basis and for the full year organic growth should be up mid single-digits. And the last part of the Instruments Group which is power and industrial continues to do well. Q3 was up high single-digits organically driven by strength in power. With acquisitions it was up about 40%. So very, very strong performance here. Full year organic sales are expected to be up at least mid single-digits and we might get even a little higher than that if things go well. The other half of the company; the Electromechanical Group as I mentioned in my opening remark sales were up 26% in the quarter. Organic growth here was 4%, 5% if currency is included. The differentiated part of EMG continues to be very strong. It's now about 75% of EMG sales. Aerospace and defense related businesses were very strong in the quarter. Our Engineer Material Interconnect and Packaging business also had an excellent quarter. Q3 internal growth was up high single-digits. Total growth with acquisitions was up approximately 40%. Full year organic sales were expected to be up high single-digits. So again very story. And our cost driven motor's business was doing fine and we are so much surprised actually. Q3 growth was down slightly, which is where we where in Q2. It was down slightly then. And as you are aware, we run this business for maximum profitability versus growth. And we're continuing to move production at low cost locals including our China, Mexico and Czech Republic plants. And as I mentioned in my opening remarks, we expect another $40 million to $50 million to be in those plants for 2008. We also have a very keen focus on Lean efficient manufacturing low cost region sourcing for this business and for all of AMETEK are low cost region sourcing is going to provide in 2008 about $20 million worth of savings. So, we expect here the full year organic growth is actually expected to be roughly flat. And for Q4, we actually expect even a little bit of growth in this part of our business. So, it's hanging in there. So, you sum all this up and the picture is pretty damn good right now.
Matt Summerville - KeyBanc Capital Markets: As you look across going through, progressing through the quarter, did you see any major change in order rates as the quarter progressed?
Frank S. Hermance - Chairman and Chief Executive Officer: No. Actually we had a fairly strong September. And the orders were essentially flat, steady. Yes, John words are better, steady.
Matt Summerville - KeyBanc Capital Markets: Great. Thank you.
Frank S. Hermance - Chairman and Chief Executive Officer: You bet.
Operator: [Operator Instructions]. Next, we move on to Richard Eastman with Robert Baird.
Richard Eastman - Robert W. Baird: Could you give us an order number for the quarter for the third quarter? And how the core orders performed year-over-year?
Frank S. Hermance - Chairman and Chief Executive Officer: I'm doing it from memory John. Look if it I think it's 641, $641 million, is that right? John's looking it up. And the core growth was 7%.
Richard Eastman - Robert W. Baird: So okay. So matched, okay.
Frank S. Hermance - Chairman and Chief Executive Officer: 641 the right number, Rick.
Richard Eastman - Robert W. Baird: I'm sorry?
Frank S. Hermance - Chairman and Chief Executive Officer: It was 641.
Richard Eastman - Robert W. Baird: Okay. Thank you. And then also Frank, when you look at the margin profile of the business overall and really by segment as well, as we move forward it appears as though the EMG margins maybe have flattened out around the 17.5% mark. And EIG perhaps as well in the 22... low 22% range. And it's the strategy here, we're bumping price to get ahead of the cross curve. We also have some mix influence in the business. But if the volumes fall off, I mean, should we be thinking that margins remain flat here at this reasonably high level? Probably you're kind of looking at this over the next 12 months. We're taking cost out, we're raising prices, we've got a mixed influence. But again if we start to look a lower core growth rate, are we putting extreme effort into trying to maintain the margins here?
Frank S. Hermance - Chairman and Chief Executive Officer: There's no question there's going to be a significant energy put into not only maintaining our margins, but trying to improve. And it surely it's going to be more difficult as the organic growth of our business as we see it which is going to happen as we go forward. However, having said that, this really speaks to the strength of AMETEK. We are really good at the cost side of the business, and we're going to be very aggressive on the cost side. And I'm not going to predict next year exactly what the margins are going to be. It would be impossible for me to do that right now, given the dynamics that are going on. But that will be a key focus in our budgeting process. And I feel I've got a lot of levers to pull to not only to keep the margins where they are, but hopefully even show some improvement. The biggest issue we're going to have on margins is the dilution impact of acquired companies.
Richard Eastman - Robert W. Baird: Okay alright. And then just a last question, geographically, you talked a bit about the growth rate. I think you said 48% or 49% of sales were international. But obviously the concern these days is about international business perhaps slowing down, especially in Europe. And did you see any change in your order pattern geographically during the quarter? Or are you more concerned going forward about your international operations?
Frank S. Hermance - Chairman and Chief Executive Officer: The order patterns were good. We looked at it on a worldwide basis and in essence orders were up and relatively healthy in all parts of the world. There was this spotty business I talked about in answer to one of the previous questions regarding some of the cost driven businesses in Europe showed some weakness in the quarter. But that was an essence offset in Asia. And yes I'm obviously concerned about the whole worldwide economy not just in any specific part of the world. I mean the cover of the Wall Street Journal this morning was with China's growth was basically moving from the 10% kind of growth area kind of 11% down to 8% to 9%. So I don't think there's any question about what we're going to see a slowing global economy. And we're just going to have to deal with it as it happens.
Richard Eastman - Robert W. Baird: Okay. Well thank you.
Frank S. Hermance - Chairman and Chief Executive Officer: Sure.
Operator: And there are no further questions at this time. I would like to turn the call back over to Mr. Burke, for any additional or closing remarks.
William J. Burke - Vice President Investor Relations and Treasurer: Thank you Rochelle. I'd like to thank everyone for joining our call. As a reminder, a replay of this call can be heard be calling 888-203-1112 and entering the conformation code number 5111340. It'll also be archived on the Internet at ametek.com and at streetevents.com. Thank you.
Operator: And that will conclude today's call. We thank you for your participation. .